Operator: Hello, everyone, and welcome to Orezone 2024 Year End Results and 2025 Guidance Webcast and Conference Call. Please note that this call is being recorded. [Operator Instructions]. I'd now like to hand the call over to Patrick Downey, President and CEO. You may now begin.
Patrick Downey: Thank you, and welcome everybody to the Orezone Q4 and year end 2024 results and 2025 guidance webcast and conference call. While 2024 was another very, very solid year for the company, very strong results. We had record revenue, record EBITDA, record earnings per share and record net income, which I'm very pleased to state today. Gold production in the quarter was 36,502 ounces, which was a 37% increase quarter-over-quarter. We did expect a very strong Q4 and we realized that. Full year, 118,746 ounces, which exceeded the midpoint of guidance of 110 to 125. Our gold sales in the quarter were 34,833 ounces at an average realized price of $2,632 per ounce, which resulted in $91.8 million in revenue. And our full year sales were 118,697 ounces at an average realized price of $2,384 which resulted in record revenue of $283.5 million. All-in sustaining costs for the quarter, very, very solid in Q4 were $1,273 and for the full year were $1,447 which were within revised guidance, which was affected by, obviously, the gold price, which increased the royalties and the regional power issues, which were outside of our control. If those had not occurred, we actually would have been inside our actual guidance for the year, which is another very solid year. As I stated, record net income in the quarter was $30.1 million and for the full year was $55.7 million attributable to Orezone shareholders. And we ended the year in a very, very strong financial position, cash of $74 million, senior debt of $67.3 million, and available liquidity of $103.2 million. And very importantly, for the second year in a row, we have had 0 LTIs, which is very much attributable to the team on-site. We had 1.33 million hours worked during the quarter and 5.37 million hours worked in 2024. And we've now got over 19 million hours worked LTI free, which is really and truly world class. I'll now hand over to Peter Tam, Chief Financial Officer to go through the financial and operating highlights.
Peter Tam: Thanks, Patrick. For 2024 as stated earlier, Orezone reported record revenue, net income and earnings per share helped by an impressive fourth quarter. Gold production of 36,502 ounces in Q4 was driven by improved head grades and record mill throughput further fueled by record gold prices resulting in quarterly net income attributable to Orezone shareholders of $30.1 million and adjusted earnings per share of $0.06. For the full year 2024, net income attributable to Orezone shareholders was $55.7 million and adjusted earnings per share was $0.11. Gold sales were 118,697 ounces at an average realized price of $2,384 per ounce with all-in sustaining cost per ounce of $1,447 dollars. This resulted in a healthy all-in sustaining cost margin of $937 per ounce. In terms of growth, we commenced construction of the Phase II Hard Rock expansion in the second half of 2024 after securing over $105 million in new debt and equity. On debt, we upsized our senior secured loan facility with Chorus Bank, our trusted partner by another $58 million under a new Phase II term loan. A first drawdown of this loan was made in late December. Liquidity at December 31, 2024 stood at $103.2 million with $74 million in cash and over $29 million in undrawn debt. With this liquidity, stage I construction of the Hard Rock expansion is comfortably financed to commissioning and first gold expected later this year. Finally, gold has continued its ascent with spot prices now above $3,000 per ounce, which will benefit Orezone greatly as our gold production remains fully unhedged to rising gold prices. On production and unit costs for mining, mine tonnes were 4.7 million in Q4 of 2024, a decline of 20% from the same quarter in 2023, as Q4 of 2023 benefited from temporary utilization of contractor. Mining rates did improve in the last two months of 2024 once additional new excavators and dump trucks were placed into service by the mining contractor with mining rates in 2025 now hitting 2 million tonnes per month. Plant throughput hit a new quarterly record in Q4 of 2024 at 1.65 million tonnes processed, a remarkable achievement when compared to plant design of 1.3 million tonnes. Plant throughput was aided by softer blend of oxide ore in the mill feed as mining progressed into the southern pits at Sega East and Sega South, stable grid availability and no major planned maintenance. Processing cost per tonne saw a sharp drop in the current quarter when compared to the same quarter in 2023. This drop was attributable to the record plant throughput and improved power cost as grid utilization was high at 92% and per ton power consumption was lower due to the softer nature of the mill feed. With that, I'll hand it back to Patrick.
Patrick Downey: Thanks, Peter. So now I'll get to 2025 production and cost guidance. Our gold production guidance will be between 115,000 ounces to 130,000 ounces. It's very similar to 2024, slightly more on the upside on the higher end. All-in sustaining costs again between $1,400 to $1,500 we expect to hold that. Sustaining CapEx of $9 million to $10 million and growth capital of $44 million to $51 million, which I'll go through in a little later here. And our Stage I Hard Rock expansion capital of $75 million to $80 million. Our gold production like every other year that we've been operating in the oxides will be weighted towards Q1 and Q4, generally due to seasonality and mine sequencing, and we expect another strong Q4 in 2025. We also are investing in the future. We are connected to the grid, but we expect that the availability will between 90% to 92% going forward. So we are purchasing a fully installed diesel power plant, which will replace the rental equipment that we currently have and will allow us that 100% availability on the power, which is similar to what the other companies are doing in the region. Our tailings footprint expansion is really a one time this year. We're doing spending $11 million to $13 million. But I want to point out that is for the full construction of the life of mine footprint, which includes Stage I and Stage II of the Hard Rocks. So we're investing that capital this year that will allow us to go fully forward on the expansion of Hard Rock and contain the oxides as well. Our resettlement action plan, which is really villages and infrastructure and housing would be 11 to 14. We have one more to do after this. So this is our second last one, so we're almost finished on the wrap. They've all gone very smoothly, I've got to see and gone very well. And this will allow us access into the high-grade P17 area by the end of the year. So production forecast and ramp up, this is a very important point to make. I've talked about our guidance. We are now well ahead on Stage I Hard Rock that will allow us to exit 2025 at a run rate of 170 to 180 a year into 2026. We are now looking at bringing the Stage II Hard Rock forward. We were originally planning to do that in 2028 with a start-up in 2029. We are now in an active process of pulling that forward and constructing it in 2026. So we would exit 2027 at -- sorry 2026 at a run rate of 220,000 ounces to 250,000 ounces a year. At current coal prices that really makes sense for us. We've just done a recent raise, which will allow us to look at that and we do make a decision to accelerate that forward in the second half of this year. So we're quite excited about that. So where are we at with the Stage I? Just a reminder, the oxide is in the background, which is operating, we're building Stage I in the foreground. The Jaw Crusher will be for the full 5 million so no changes there. Putting in a SAG mill with five tanks and ore reclaim system and some minor modifications to the gold recovery circuit. Concrete started three months ahead of schedule and has remained ahead of schedule. The engineering is ahead of schedule and bulk quantities and all of the equipment are in line with budget and mostly have been ordered. The SAG mill components arrived on site last week as did all of the tank plate work. And the CIL tank construction erection will start in end of March, will likely start beginning of next week. And as I stated, the TSF expansion is underway. At the current schedule, this will allow us to ramp up in Q4 and we'll exit Q4 into 2026 at the run rate of $170 million to $180 million. Quick photograph to show what it looks like and we will be putting out videos every month starting probably in April. In the background, you can see the oxide plant at the Tailings Cell 1. The expansion that we're doing will wrap fully around that, which will be for the full Stage I, Stage II Hard Rock and the oxide. In the foreground is the oxide plant. You can see plenty of room, plenty of space. We do design our plants so they can run effectively, which has been very much shown in the oxide, which is designed for 5.2 and is running at over 6. Photograph two there is the dump pocket and the Jaw Crusher. We're just about to shutter those walls and start pouring those walls next week. CIL tanks are finished, all concrete done, and we'll be laying out and erecting the tanks beginning next week. That contractor is fully mobilized onto site. Photograph four is the Ball mill raft, which is a fairly large foundation poured into the ground --sorry the SAG mill raft and then we're pouring the piers – shuttering the piers right now and we'll be pouring the piers sometime in April. And you can see in photograph 5, the SAG mill components have all now arrived on site. So all going very well. All managed by us by the way, it's our team doing all of this work. So how do we get the 5 million tons per annum? It again is another brownfield expansion. We expect it will cost between $90 million to $95 million We're updating that estimate right now. We're updating our detailed engineering with our engineer Lycopodium, and we expect to have that done in the next month or so. It will be 4 extra tanks, an oxygen plant, a Ball mill, which we've already identified, a thickener and water infrastructure and a pebble crusher. We expect to go to the Board to ask for that decision to go forward in late in Q2. And then we would get into that work and start ordering equipment later on this year. It's about a 12-month construction. We're pretty confident of that. Obviously, we've got real-life costing in terms of all components. So we're fairly confident of what we can do here. And the planned accelerated ramp up would have us completion in Q4 and exiting 2026 at a run rate of around 230,000 ounces to 250,000 ounces a year. So very exciting going forward. I hope to be able to announce that later in Q2 of this year. So in summary, 2025 is really a transformational year for Orezone. We've been running the oxide plant very successfully, met guidance two years in a row now, sort of last full this year of oxide only. We are in the stages of completion in the Hard Rock expansion and that will bring our overall head grade up production to around 170,000 ounces 180,000 ounces and will also reduce all-in sustaining costs going forward. So as you see this year, the 1,400 to 1,500 will come down in 2026. It will also provide increased operational flexibility. The one thing we're doing here is the oxide plant can run completely independently of the Hard Rock, so it gives us great operational flexibility. We've also commenced a renewed exploration focus. We started that in Q4 of 2024. We've put out some results already. Just a reminder, we've got 2.4 million ounces of mineral reserve at a $1,500 gold price with an average pit depth of less than 40 meters. So very, very shallow. It supports the full ramp up of 220,000 ounces to 250,000 ounces. So anything above that really is additional to that. So the current drilling we started in the North had very positive results. We went down 200 meters below the reserve pit and we continue intercept grades of very thick widths of 1.64 over 46 meters. We're now down in the South, which is a high-grade P16, P17 areas. We've got 2 rigs down there right now. We're looking to planning to bring a third. And we're expecting to release results from P16 and P17 in the near future. And that will also start to show the underground potential of Bomboré, which again we're very excited about. We did announce that we're looking at an Australian secondary listing that is advancing fairly rapidly. We expect that, that will give us increased trading liquidity and we've seen that already with that announcement. Access to new investors, which we've already done. We raised $40 million recently in a very, very strong financing. It was very much oversubscribed and several large Australian funds participated in that. And that will allow us to accelerate Stage II here in terms of making that decision on when we do Stage II in 2026. So that's it. A very strong year, a record year, very pleased to announce that and a very exciting year in 2025. Thank you. I'll hand it back to the operator.
Operator: [Operator Instructions] Your first question comes from the line of Angelina Guo from Canaccord Genuity. Your line is now open.
Angelina Guo: Good morning, team, and congratulations on the quarter. I have two questions on the 2025 CapEx guidance provided. First, in terms of the total CapEx for Stage one, it increased by about 16% to $93 million if we take the midpoint of the 2025 guidance and also factor in what was already spent in 2024. I just want to know what's driving the increase for the Stage I CapEx? And could you also provide a bit more color on the other growth CapEx items?
Patrick Downey: Yes. A bit of that is some contingency we've added in there. And we're also doing a little bit more work on preparing for the Stage II. So we've added a little bit more capital in there. And we've also got more pricing and where we're at. And we've accelerated some of our equipment deliveries. So we want to make sure that we've got things in place for the Q4 start up. That's really it. On the growth capital, it's really $20 million to $25 million on that power plant. We weren't initially going to do that. We're actually going to continue to rent at one point, which we wouldn't have that capital. But when we looked at that, we decided that it was much better for us to buy that equipment and own it. And we would operate it, we have full control of it then. And it's for the oxide and the Hard Rock. So it's the decision that we made, we looked at what other companies were in the region. I've seen [Indiscernible] are now doing exactly the same thing and they will be on the grid. So it really was that opportunity to do that. We had the money to do it, so we decided to do it. On the footprint, the TSF, have about $11 million to $13 million and that's really around the doing the TSF for both the Stage I and Stage II. We could have done a smaller footprint there, but essentially doing the large footprint gives us that optionality that if we do the Stage II in 2026 that TSF is there and ready to accept the full 5 million tonnes from the hard rock and the 6 million tonnes from the oxide going forward. That's essentially it.
Angelina Guo: Okay. Thank you. That's really helpful. And my second question is when should we expect the 2025 CapEx estimate for Stage II as it's on track to start later this year?
Patrick Downey: We're working on it right now. We've actually engaged the engineers on that. They're doing the what we call the FEED the front-end engineering and design. So we know what the obviously a lot of the components are. We will we're looking at three ball mill options that we would expect to have an answer on here in the coming weeks. Once that's done, we will have our very, very tight estimate of that to go to the Board. I expect that will happen later in Q2 and we'd have an answer and news to the market probably later in Q2 -- end of Q2.
Angelina Guo: Okay. That's great. Thank you. And that's all from me. I'll jump back into que.
Operator: [Operator Instructions] Your next question comes from the line of Alan. My apologies. [Operator Instructions]
Operator: As of right now, since we don't have any pending questions, I'd now like to hand the call back over to Patrick. Thank you.
Patrick Downey: Okay. Good. Thanks. As I said, very, very good 2024, a record year, 2025 transformational, really looking forward to getting Stage I of the Hard Rock started up and then making a decision on Stage II . But more importantly as well as the exploration that we have coming forward results throughout the year. So looking forward to a very, very busy 2025. Thank you.
Operator: [Operator Closing Remarks]